Operator: Thank you for joining us for Navios Maritime Partners First Quarter 2025 Earnings Conference Call. With us today from the Company are Chairwoman and CEO, Ms. Angeliki Frangou; Chief Operating Officer, Mr. Stratos Desypris; Chief Financial Officer, Ms. Eri Tsironi; Chief Trading Officer, Mr. Vincent Vandewalle. As a reminder, this conference call is being webcast. To access the webcast, please go to the Investors section of Navios Partners website at www.navios-mlp.com. You will see the webcasting link in the middle of the page and a copy of the presentation referenced in today's earnings conference call will also be found there. Now I will review the Safe Harbor Statement. This conference call could contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 about Navios Partners. Forward-looking statements are statements that are not historical facts. Such forward-looking statements are based upon the current beliefs and expectations of Navios Partners management and are subject to risks and uncertainties which could cause actual results to differ materially from the forward-looking statements. Such risks are more fully discussed in Navios Partners' filings with the Securities and Exchange Commission. The information set forth herein should be understood in light of such risks. Navios Partners does not assume any obligation to update the information contained in this conference call. The agenda for today's call is as follows: First, Ms. Frangou will offer opening remarks. Next, Mr. Desypris will give an overview of Navios Partners' segment data. Next, Ms. Tsironi will give an overview on Navios Partners' financial results, then Mr. Vandewalle, will provide an industry overview. And lastly, we'll open the call to take questions. Now I turn the call over to Navios Partners' Chairwoman and CEO, Ms. Angeliki Frangou. Angeliki?
Angeliki Frangou: Good morning, and thank you all for joining us on today's call. I am pleased with the results for the first quarter of 2025, in which we reported revenue of $304.1 million and EBITDA of $147.6 million and net income of $41.7 million. Earnings per common unit were $1.38 for the quarter. The economic environment over the past month has been particularly uncertain, with the global expectations being driven by the unprecedented U.S. tariff proclamation, followed by revisions, pauses, and exceptions. In response, sentiment turned bearish, and the U.S. and other financial markets were extraordinary volatile, recovering on last week in the U.S. to the pre-tariff announcement levels. I would add that the tariff announcements conceal an underlying worry due to the wars in Ukraine and the Middle East. I remarked last quarter that we are waiting for more information as the U.S. administration did not provide a concrete tariff roadmap. In general, this continues to be the case as the U.S. administration tactically maneuvers towards a tariff regime furthering its policy aspirations relating to national security and fiscal austerity. However, a faint outline is starting to emerge. While the future maybe challenging, it appears the potential impact on maritime transportation may not be as severe as we initially feared. And I note that during this recent period of uncertainty, the spot rate market has generally been healthy, although and even between the maritime sectors. Preparing for difficult periods is part of our job requirements. In prior periods when sentiment allowed, we enter into long-term charter arrangements. We currently have a contract backlog of $3.4 billion. In addition, because of this and other measures, our contracted revenue is $12.5 million larger than our total cash expenses for the remaining nine months of 2025. We are also actively managing our interest rate risk today through fixed cost financing and hedging arrangements around 30% of our long-term debt has a fixed interest rate of 5.5%. Please turn to Slide 6. Navios Partners is a leading publicly listed shipping company with 174 vessels. These vessels have an average age of 9.9 years and are in three different segments and 16 asset classes. As you can see the vessel value is approximately equal in each sector. We ended the first quarter with $343 million of cash on our balance sheet. Our net LTV as of the end of the quarter Q1 was calculated at 35.2% slightly up from last quarter. Please turn to Slide 7. We sold three vessels with an average age of 19.1 years for around $35 million. We also received for previously announced newbuilding vessels with employment, two aframax/LR2 tankers, which were fixed at an average rate of $26,349 net per day for five years and two LNG dual fuel 7,700 TEU containerships, which were fixed at an average rate of $41,753 net per day for 12 years. For the remaining nine months of 2025, contracted revenue exceeds total cash expense by $12.5 million. We have 14,117 remaining open/index days, 34% of our available days, so we have significant cash generative opportunities. Please turn to Slide 8, where we outlined our return of capital program. Under our dividend program, we paid $0.20 dividend per unit annually. In the first quarter of 2025, we paid the divided of a $1.5 million which is slightly less than the previous year run rate because of our buyback program. In addition, so far in 2025, we purchased 423,984 common units for $16.1 million. Including dividends, we returned a total of $17.6 million in 2025. Under the entire unit repurchase program, we invested $41.1 million and 913,939 common units purchasing around 3% of Navios Partners public float as measured when the program was launched. We estimate that we effectively returned $2.9 per unit of value through these purchases. As of May 1, 2025, we had $58.9 million available under our unit repurchase program. The volume and timing of further repurchases will be subject to general market and business conditions, working capital requirements, and other investment opportunities among other factors. Please turn to Slide 9, where we focus on how we execute our strategy in a period of increasing uncertainty. At the top left of the slide, we outlined the challenges we have been addressing. I can share that we assembled our team regularly to dive into the details of emerging information in an attempt to understand how various risks are evolving. While extreme outcomes remain possible, the market has been generally adapted to this entitlement and the underlying rate market relatively healthy. On the top right part of the slide, we underline how we are addressing the uncertain market and the things we have accomplished. As noted earlier, the $3.4 billion in contracted revenue stems from our action in past markets where sentiment allowed us to enter into long-term charters. This is not the case now, but we remain alert for future possibilities. We are also focused on our interest rate risk and we have been hedging this risk with hedges that will never require posting additional collateral. At the bottom of the slide, we continue to provide a view of the evolution of our fleet through selected metrics. As you can see, our fleet size and age are about the same as they were on the year end 2022. However, about 26% of our fleet was acquired in the past four years, so we maximize energy efficiency by maintaining a fleet of useful vessels with the latest technology. On the financial side, we focus on the leveraging and reduced net LTV from a 45% at the end of 2022 to 35.2% at end of the first quarter 2025. I'll now turn the presentation over to Mr. Stratos Desypris, Navios Partners Chief Operating Officer. Stratos?
Stratos Desypris: Thank you, Angeliki, and good morning all. Please turn to Slide 10, which details our operating free cash flow potential for the remaining nine months of 2025. We fixed 66% of our available days at a net average rate of $25,703 per day. Contracted revenue exceeds our total cash expense by about $12.5 million, and we have 14,117 remaining open/index linked days that should provide substantial additional cash flow. So that you can perform your own sensitivity analysis. On the right side of the slide, we provide our 41,901 available days per vessel type. Please turn to Slide 11. We are constantly renewing our fleet in order to maintain a young profile. We reduced our carbon footprint by modernizing our fleet, benefiting from newer technologies and advanced environmentally friendly features. In 2025, we took delivery of four vessels, two LR2 aframax vessels which has been chartered out for five years at an average of $26,349 net per day, and two 7,700 TEU LNG dual fuel containerships that have been chartered-out for 12 years at an average rate of $41,753 net per day. Following these deliveries, we have 21 additional newbuilding vessels delivering to our fleet through 2028, representing $1.4 billion of investment. In containerships, we have four vessels to be delivered with a total acquisition price of about $0.4 billion. We have mitigated this risk with long-term credit worth of charters expected to generate about $0.3 billion in revenue over a five-year average charter duration. In tankers, we have 17 vessels to be delivered for a total price of approximately $1 billion. We chartered-out 15 of these vessels for an average period of five years, expected to generate aggregate contracted revenue of about $0.6 billion. We have also been opportunistically replacing older vessels. In 2025, we sold three vessels with an average age of 19.1 years for about $35 million. Moving to Slide 12. We have a strong backlog of contracted revenue that we build over the previous years that create visibility in an uncertain environment. Our total contracted revenue amounts to $3.4 billion. $1.4 billion relates to our tanker fleet, $0.2 billion relates to our dry bulk fleet and $1.8 billion relates to our containerships. Charters are extending through 2037 with a diverse group of quality counterparties. I'll now pass the call to Eri Tsironi, our CFO who will take you through the financial highlights. Eri?
Erifili Tsironi: Thank you, Stratos, and good morning all. I will briefly review our unaudited financial results for the first quarter ended March 31, 2025. The financial information is included in the press release and is summarized in a slide presentation available on the company's website. Moving to the earnings highlights on Slide 13. Total revenue for the first quarter of 2025 decreased to 4.6% to $304 million compared to $319 million for the same period in 2024 due to lower fleet time charter equivalent rate, available days and revenue from freight voyages. Our fleet time charter equivalent rate for the first quarter of 2025 decreased by 1.1% to 21,271 per day and our available days decreased by 0.6% to 13,456 days compared to Q1 2024. In terms of sector performance, the TCE rate for our container fleet increased by 2.2% to 30,501 per day. In contracts, the TCE rate for our dry bulk and tanker fleet was 10.5% and 7.1% lower respectively and 12,722 per day for dry bulk and 26,082 per day for tanker vessels. EBITDA was adjusted as explained in the slide footnote. Excluding these amounts, adjusted EBITDA for Q1 2025 decreased by $11 million to $154 million compared to Q1 2024. The decrease is driven primarily by $14 million revenue and $7 million increase in vessel operating expenses, mainly due to 4.8% increase in our OpEx days, and the change in the composition of our fleet partially mitigated by $12 million decrease in time charter and voyage expenses due to less freight voyages. Adjusted net income for Q1 2025 was $48 million compared to $71 million in Q1 2024. Adjusted net income decreased by $24 million, mainly due to an $11 million decrease in adjusted EBITDA and $9 million increase in depreciation and amortization and $4 million increase in interest expense and finance cost, net. Earnings and adjusted earnings per common unit were $1.38 and $1.58, respectively. Turning to Slide 14, I will briefly discuss some key balance sheet data. As of March 2025 cash and cash equivalents including restricted cash and time deposits in excess of three months were $343 million. During the quarter, we paid $33 million under our newbuilding program net of debt. We concluded the sale of one vessel for $8 million adding about $1 million cash after debt repayment. Long-term borrowings, including the current portion, net of deferred fees remained in line with 2024 year-end figures at $2.1 billion, despite the delivery of three newbuilding vessels during the quarter. Net debt to book capitalization improved to 34.1%. Slide 15 highlights our debt profile. We continue to diversify our funding resources between bank debt and leasing structures. Following our $88 million interest rate hedge in Q1 2025, 30% of our debt and bareboat liabilities have fixed interest at an average all-in rate of 5.5%. We also have mitigated part of the increased interest rate cost by reducing the average margin for our drawn floating rate debt and bareboat liabilities to 1.9%. I would like to note that the average margin for the drawn floating rate debt of our newbuilding program is 1.4%. Our maturity profile is staggered with no significant balloons due in any single year. In Q1 2025, Navios Partners agreed to extend the majority of sale leaseback facility for 11 vessels until 2029 at improved terms. I'll now pass the call to Vincent Vandewalle, Navios Partners Chief Trading Officer to take you through the industry section. Vincent?
Vincent Vandewalle: Thank you, Eri. Please turn to Slide 17. Visibility into the global trade has been clouded by many tariff announcements. It appears that 3.7% of the global trade will be subject to declared tariffs. Announced tariffs are not expected to have a significant effect on tankers and dry bulk trades a part of cranes. The heaviest tariff impacts will be on containers, cars and LPG. We will continue to monitor how further developments affect global trading. Please turn to Slide 18. U.S. tariffs on Chinese imports rose to 145% on a wide range of goods as of early April. China retaliated with 125% tariffs. The U.S. also imposed tariffs of 10% to 50% on most other countries. On April 9, the U.S. paused all tariffs for 90 days, except for the tariffs on China. The U.S. is currently negotiating tariffs on a country-by-country basis. On April 17, USTR released a revised Section 301 fee proposal targeting Chinese vessel operators and Chinese-built ships with extra port fees when calling U.S. ports. These fees are to take effect from October 2025. Please turn to Slide 19 for a review of the current trade disruptions. The Red Sea entrance leading to the Suez Canal is a strategic maritime transit point. It continues to operate at restricted transit levels. Through the end of April, transit through the Suez Canal were lower than the 2024 average. Red Sea disruptions have caused rerouting of ships via the Cape of Good Hope, raising costs and distances last year. Should the situation remain unchanged during the rest of 2025, we believe that total ton TEU miles are projected to experience modest improvements across all sectors. Before we move to the analysis per sector, please be reminded that the analysis that follows maybe materially different depending on the final outcome of the tariff discussions. Please turn to Slide 21 for the review of the dry bulk industry. A seasonal lower Q1 developed due to weather patterns, cyclones and typical seasonality. Rates for all three asset classes declined Q1 2025 versus Q1 2024. And in Q1, average revenue declined 46% for Capes, 38% for Panamaxes and 32% for SUPRA. Going into Q2, the spot market started to recover due to seasonally higher volumes of iron ore, bauxite and grain. Dry bulk trade is expected to decline by 1.2% in 2025, while ton miles are expected to decrease by 0.4%. Ton miles are positively affected by Atlantic export of iron ore and bauxite from West Africa destinated primarily for China and Southeast Asia, which cushioned the fall in overall demand and supporting Capes in particular. Please turn to Slide 22. The current order book stands at 10.3% of the fleet. Net fleet growth is expected to be 3.1% in 2025 as owners remove tonnage that will be uneconomical due to the IMO 2023 CO2 rules. Vessels over 20 years of age are about 11.5% of the total fleet, which is slightly higher than the order book. In concluding our dry bulk sector review, slowing demand growth for natural resources maybe balanced by restrictions in transiting the Red Sea, long-haul trades of bauxite and iron ore from West Africa to Asia and a low pace of newbuilding deliveries. This should support higher freight rates as the freight future market currently indicates, particularly for Capes. Please turn to Slide 24 for the review of the tanker industry. World GDP is expected to grow by 2.8% in 2025 based on the IMF April forecast. The IEA projects a 0.7 million barrels per day increase in global oil demand in 2025. Chinese crude imports slowed in 2024, average about 11.1 million barrels per day, down 2% or 0.2 million barrels per day compared to 2023. Imports in March were 12 million barrels per day, up 4% year-on-year, leaving Q1 imports at 11 million barrels per day, slightly down over 2024. Crude tanker earnings have remained healthy in recent weeks after firming in February with support from Asian refineries that replaced Russian and Iranian barrels with non-sanctioned imports. The geopolitical backdrop remains fluid with tighter sanctions, uncertainty regarding Red Sea passage, possible Russian-Ukraine war resolution and consequences from the tariff war. In addition, OPEC+ announced the unwinding of their 2.2 million barrels per day voluntary export cuts from April 1, 2025, where after a series of upward revisions announced the increase in production by about 1 million barrels per day. The BTTI averaged $905 for Q1 2025, 5% down on Q4 2024, while the BCTI averaged $706, some 24% above Q4. However, rates remained in line with the long-term averages. Overall, the political environment, along with the normal seasonality, reduction of the fleet due to the sanctioned vessels and lower global oil inventories should support crude freight rates. Please turn to Slide 25. On January 10, 2025, the U.S. Office of Foreign Assets Control, OFAC, issued new sanctions targeting Russian oil revenue with the U.S. adding 186 ships, mostly trading Russian oil to its sanctions list. OFAC's actions more than doubled the sanctioned vessels. The total sanctioned vessels is now about 10% of the tanker fleet. Both China and India have said that they will not allow OFAC sanctioned vessels to discharge. VLCC spot rates from Middle East to China as of April 29 are about 125% higher than the day before OFAC sanctions were announced. On February 4, 2025, the U.S. reinstated the maximum pressure campaign against Iran, instructing U.S. agencies to rigorously enforce existing economic sanctions and introduce new measures targeting iron's oil exports. The stated goal is to reduce all exports to zero from the recent 1.4 million barrels per day. OFEC has sanctioned additional vessels since its initial announcement, mostly in regards to Iranian oil exports. Please turn to Slide 26. Seaborne crude and product tankers continue to be affected by the war in Ukraine. Both crude and product markets remains at healthy levels. Please turn to Slide 27. The VLCC fleet contracted 0.1% in 2024 and is expected to contract in 2025. This decline can be partially attributed to owners' hesitance to order vessels in light of unresolved technology requirements relating to CO2 restrictions. The current order book is 10.8% of the fleet or 98 vessels after a record ordering spree in 2024. Vessels over 20 years of age are about 19.8% of the total fleet or 181 vessels, which is about 2x the order book. Turning to Slide 28. Product tanker net fleet growth was 1.7% for 2024 and is expected to increase to 4.3% in 2025. The current product tanker order book is 21.5% of the fleet, slightly more than the 18.8% of the fleet, which is 20-plus years of age. Concluding the tanker market overview, tanker rates continue at healthy levels. The combination of moderate growth in global oil demand, OPEC sanctions reducing the numbers of available vessels, new longer trade routes for both crude and products and the IMO 2023 regulations should provide for a healthy tanker earnings going forward. Please turn to Slide 30 for the review of the container industry. The Shanghai Container Freight Index is currently at 1,341, the lowest since December 2023 and down approximately 64% from the recent peak of 3,734 on July 5, 2024. We note that was the highest level outside the pandemic area. Containership rates remain firm because of the Red Sea causing TEU miles to increase by about 18% in 2024. Firm time charter rates should remain for the duration of the Red Sea disruption. However, continuous record newbuilding ordering and record fleet growth should eventually modify these gains. Tariffs, particularly the current 145% tariffs on U.S. imports of Chinese goods will have a significant effect on demand and trade should they remain at these recent announced levels. Turning to Slide 31. The current order book stands at 28.5% against 13.7% of the fleet 20 years of age or older. About 80% of the order book is for 10,000 TEU vessels or larger. Although trade is expected to grow by 0.3% in 2025, net fleet growth is expected to grow by 6.3% in 2025, following a 10.1% net fleet growth in 2024. Additionally, should Suez Canal transit return to previous normal levels, supply and demand fundamentals will be challenging. However, a world GDP growth of 2.8% for 2025 provides a somewhat positive counterpoint for a challenging 2025. If the tariffs and especially the 145% on U.S. imports on Chinese goods remain, it will have a significant effect on the demand and trade. This concludes our presentation. I would now like to turn the call over to Angeliki for her final comments. Angeliki?
Angeliki Frangou: Thank you, Vincent. This completes our formal presentation, and we open the call to questions.
Operator: [Operator Instructions] We'll take our first question from Omar Nokta with Jefferies.
Omar Nokta: Thank you. Hi, Angeliki. Hi everyone, and good afternoon. Thank you for the update. Clearly, a lot of fast-moving, very quick changing dynamics in the geo macro. And clearly, you've done a good job, obviously navigating through this. And I think on Slide 9, you highlight the securing the liquidity and having the revenue stability and basically optimizing the balance sheet as much as you can in this environment has been, first and foremost, what you've been focusing on. I guess as we think about how things are from here, it seems that share repurchases have somewhat accelerated this year relative to the pace that we saw in 2024. Just wondering, as you kind of think about how things are situated today, any change in how you approach capital allocation, whether the buyback pace changes or fleet renewals that takes a back seat? Do you focus on cash preservation? Any kind of changes or shifts you would say in this environment for Navios?
Angeliki Frangou: Thank you, Omar, and good morning to you. To be honest, there is one big thing, patience, patience, patience. I mean we are living in an incredible uncertainty. I mean, on top of two wars that were already complicated, Ukraine and Russian war and the Middle East war, we are basically having U.S. tariffs that the U.S. administration is looking really to reshape trade on volume and origination of goods. So this is a very big thing because basically, we are changing the global trading pattern. To what extent, how this is something we will have to see. And to be honest, during these very uncertain times, what we did before is the most important thing. It's more important than what we are doing today. And before this period, what we did, as you very well said in Page 9, we built liquidity, $340 million in our balance sheet. We built $3.4 billion of contracted revenue, giving us flexibility on the medium – also with that, we have short-term flexibility. Our operating cash flow, we have $12.5 million excess of contracted revenue this year on the nine months over our total cash expenses on the 2025 on the ninth month. This gives you flexibility of thinking. On top, you focus on your balance sheet. You focus on deleveraging. We provided a 22% deleveraging from the end of 2022 to today. We renew our fleet and modernize our fleet. And also, as you can see today, we're also concentrating on mitigating interest rate risk. We have 30% of our debt fixed. Because I think in this environment, you are better off to be more conservative, and we are fixed at an average rate of 5.5%. Now on top of all this, we look on how we return capital to our – how we can return to our shareholders, to our unitholders. And we have a program, a dividend program and a buyback. And we are here looking on that as well as we are looking on what the new environment will develop. This is a situation that we need to almost every day concentrate and see what is changing. Look at the news of last night, you wrote a piece about the hoodies. What was the day before? We see that today, tomorrow, there are going to be negotiations between the U.S. and China. There was a stimulus in China. In this kind of environment, you need to be focused on the important thing and keep all the flexibility there.
Omar Nokta: Yes. Thanks, Angeliki. That makes a lot of sense, focus on what you can control. I guess maybe just in that context, you were obviously very – not this year, but in prior years, you have been very acquisitive, especially on newbuildings where there are opportunities to enter into long-term charters to derisk those investments. And you did so in the fleet renewal process by selling the older ships. How are you thinking about that right now? Are there still opportunities given the noise in the market to continue to acquire assets, whether they're newbuildings or in the open market that come with contracts? Or has that quieted down in this market?
Angeliki Frangou: Listen, the big long-term charter deals where you will have a newbuilding with a charter is not at this point. There's a lot of uncertainty, so you don't see it. But today, you may see new deals developing. United States is repositioning, and we have to be very aware of that. And that will mean different trading patterns that will have to be serviced by different vessels with particular specification. So we are very open to this. You need to follow exactly how it is developing. I mean United States will have needs that will have to be secured by a fleet that they will like to have visibility about. I don't think that today, we can make – you can say one way or the other. You need to be very flexible and see how you position. The good thing is that we are basically sold a lot of the older vessels. This is something that makes us feel comfortable having a modernized fleet. And we have a lot of ability to wait and see how this is developing. We don't have to rush into one direction or the other.
Omar Nokta: Yes. Certainly. And maybe just one final one, if you don't mind, just in terms of the three main parts of the business, which are containers, tankers, dry bulk, each are moving in their own direction with some excitement potentially ahead for tankers with OPEC. Dry bulk is still kind of reandering perhaps, not exciting, but not bad. And then containers up until very recently, you had a very active, we would say, liner appetite for charters. How would you kind of, from your vantage point, what are you seeing in terms of asset values in those segments? Is there one that feels maybe very firm perhaps, one that's – whether it's rising or is there softness you see in one segment? Just can you give some color from your eyes on vessel values?
Angeliki Frangou: I mean you have seen that tankers and especially, you have a you have very good – with the assumption of fleet of 10%, it gives you – in the order book, it gives you a good positioning and you see that the values of the vessels have been in this market, there's a lot of sales, and you see it in a good level. But I will say one thing. What I was very surprised that given the uncertainty that we were facing, it is amazing how you can see that the spot market, which is really an indication of how we are transacting today. If you want to have a real data on every day, even in the darkest moment is what is the spot market. And you can say that in dry bulk, which you have a real depth of the spot market, you see that it was healthy levels. I mean, don't forget about a month ago, the world looked like we are coming to a new great depression. So having this data point where you saw – I'm not talking FFA, I'm talking spot market at this point where a person – an entity is willing to trade. With all this uncertainty, I think the world kept quite well, I will say. So patience. I mean the good thing is we have a lot of – we have done a lot of work prior to this situation, and this gives us the ability to have time to think and see how we can go to the next opportunities.
Omar Nokta: Yes. Thanks, Angeliki. That's very helpful.
Angeliki Frangou: Thank you.
Operator: This does conclude today's question-and-answer session. I will now turn the program back over to Angeliki for any additional or closing remarks.
Angeliki Frangou: This completes our presentation for the Q1 results. Thank you.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time.